Operator: Hello, and welcome, everyone, to today's Commercial Metals Company Second Quarter Fiscal 2012 Earnings Call. As always, today's call is being recorded. [Operator Instructions] I would like to remind all participants that during the course of this conference call, the company will make statements that will provide information other than historical information and will include statements concerning the company's future prospects, revenues, expenses or profits. These statements are forward-looking statements and may involve speculation and are subject to risks and uncertainties that could cause actual results to differ materially from these statements. These risks and uncertainties are described in CMC's latest 10-Q and 10-K available on both the company's and the SEC's website. Forward-looking statements are made based on management's current expectations and assumptions, and CMC offers no assurance that actual outcomes and results will be as indicated in any forward-looking statements. Except as required by law, CMC does not undertake any obligation to update, amend or clarify any forward-looking statements as a result of future events, new information or otherwise. Some numbers presented during this call will be non-GAAP financial measures. Reconciliations of such non-GAAP financial measures to their GAAP equivalents may be found in the company's press release. For now, the opening remarks and introductions, I would now turn the call over to the President and CEO of Commercial Metals Company, Mr. Joe Alvarado.
Joseph Alvarado: Good morning, everyone. Thank you for joining us to discuss CMC's second quarter fiscal 2012 results. I will begin with some second quarter highlights and an update on the progress we are making on a number of important initiatives we discussed with you last quarter. Barbara will then provide the financial details on the quarter, and I will close with some comments on our outlook for the third quarter of fiscal 2012. And after that, we will open the call to questions. As noted in our press release this morning, we reported net sales of $2 billion for our fiscal 2012 second quarter ended February 29, 2012, an increase of 10% from the second quarter 2011 sales of $1.8 billion. We also reported net earnings of $28.9 million or $0.25 per share in this year's second quarter compared to a net loss of $46.2 million or $0.40 per share for last year's second quarter, an improvement of $75.1 million in net earnings performance. Barbara will walk you through all the details in a moment, including the impact of discontinued operations. In addition to substantially improved earnings in the quarter, we generated $95 million of EBIT -- of adjusted EBITDA, which also represents a significant improvement from a year ago. I'm also pleased to announce and to report that our Board of Directors approved our quarterly dividend of $0.12 per share, marking the 190th consecutive quarter of dividends to shareholders. Though the second fiscal quarter is historically our slowest quarter, we achieved our second highest quarterly adjusted operating profit since the first quarter of fiscal 2009, the start of the current economic recession. Our domestic mill and fabrication selling prices for the second quarter were higher than the prior 2 quarters, and our Americas Mills metal margin continued to increase. Most of our segments had higher volumes than last year's second quarter. We continue to be encouraged as our domestic backlogs have grown in the past 2 quarters. Our Americas Mills and our International Marketing and Distribution segments led our improved profitability, with the International Mill and Americas Recycling contributing profitably despite some challenges in their markets. All this is to the credit of our operations and business management team. Our Americas Mills segment had another strong quarter of profitability with adjusted operating profit of $54.4 million compared to last year's second quarter of $10.9 million. Tons shipped, average sales prices and metal margins all improved when compared to the same quarter a year ago and this year's first fiscal quarter. This profitability was achieved in spite of planned outages at certain mills for installation of environmental upgrades and general maintenance. Our mills operated at roughly 77% of capacity compared to 73% in the second quarter of last year. Also, our new Arizona mill achieved another quarter of profitability. Our International Marketing and Distribution segment had near record profits with an adjusted operating profit of $26.6 million as compared to $12.4 million in last year's second quarter. The raw materials operating group within this segment was the largest contributor to the increased profitability. Our domestic steel import business, Asian operations and Australian operations, including our recent acquisition in Australia, were all profitable in the quarter. Our International Mills segment, consisting primarily of our Polish operations, achieved an adjusted quarterly operating profit of $6.6 million compared to $4 million in last year's second quarter. This improved profitability was achieved even though severe winter weather slowed construction in Central Europe. The strength of sales of merchant bar products from our new flexible mill helped our Polish operations overcome a seasonally slowed construction industry and a strong Polish zloty, which compressed margins on foreign sales. Our Americas Recycling segment was profitable for the eighth consecutive quarter, with an adjusted operating profit of $6.4 million. Tons shipped were higher than last year's second quarter, but the decrease in scrap prices during the second half of the quarter made it difficult to surpass last year's adjusted operating profit of $10.9 million. Our new shredders in Corpus Christi and Tulsa became operational during the quarter. Looking at our Americas Fabrication segment, the quarterly adjusted operating loss of $10 million was incurred, but operating results improved to $39.6 million over last year's second quarter. Increased volume, higher selling prices, stable rebar prices and cost-cutting efforts were the primary drivers of the improved performance. This segment's backlog is at an all-time high in tons with steadily improving prices. We are encouraged by market improvements, including the Western region, which, since 2008, has been our most challenged market. Our Eastern region also experienced significant improvement, and there is some optimism for continued market recovery. All regions are reporting growth in private sector projects. We have completed our plan to shut down our Croatian pipe mill, which is classified as a discontinued operation. These efforts helped our discontinued operations achieve net earnings of $1 million for the quarter, a substantial improvement over prior quarters. The last mill products were shipped during the quarter. We have a process underway to solicit parties interested in acquiring the mill or the mill's assets. With that overview, I would like to summarize with an important point. Our year-to-date earnings of $136.6 million are evidence that our broad range of key initiatives are returning results to our bottom line and improving shareholder returns. However, we will not rest on our current performance. We will endeavor to continuously improve our service to our customers and to competitively structure our company so that we can adapt to the ever-changing challenges and opportunities of the metals industry. With that, I will turn the discussion over to Barbara Smith, Senior Vice President and Chief Financial Officer. Barbara?
Barbara R. Smith: Thank you, Joe, and good morning, everyone. As Joe mentioned, for the second quarter of 2012, we reported net earnings of $28.9 million or $0.25 per diluted share. During the same period for 2011, we reported a net loss of $46.2 million or $0.40 per share. We're pleased with the increase in earnings of over $75 million on a year-over-year comparison. Consolidated sales for the quarter increased 10% over last year's second quarter, contributing in part to the improved financial performance. Continuing operations had a net quarterly earnings of $27.8 million, or $0.24 per diluted share, while discontinued operations, which consists primarily of the Croatian pipe mill, had quarterly net earnings of $1 million or $0.01 per diluted shares. For the 6 months ended February 29, 2012, net earnings were $136.6 million, or $1.17 per diluted share, as compared to a net loss of $45.5 million or $0.40 per share. Sales of $3.9 billion were 11% higher than the same 6-month period last year. Continuing operations for the first 6 months had net earnings of $152.9 million or $1.31 per diluted share, while discontinued operations had a net loss of $16.3 million or $0.14 per share. Included in the results of continuing operations is a tax benefit of $102 million or $0.87 per share related to the ordinary worthless stock and bad debt deductions from the investment in the Croatian subsidiary. As mentioned in our last quarterly earnings call, discontinued operations included approximately $18 million of severance cost. Collectively, for our U.S.-based steel mills generated an adjusted operating profit of $51.9 million for the quarter compared to $6.9 million during the same period last year. Net sales of $487 million were up 13% from last year's second quarter sales of $432 million. We recorded a pretax LIFO expense of $6.8 million compared to expense of $38.5 million for the second quarter of 2011. Metal margins were higher at $334 per ton during the second quarter of 2012 when compared to $322 per ton in the first quarter of 2012 and $289 per ton in the second quarter of 2011. Within the Americas Mills segment, our copper tube mill reported an adjusted operating profit of $2.5 million with pretax LIFO income of $3.7 million in the second quarter. This compares with the $4 million in adjusted operating profit with the pretax LIFO expense of $1.2 million that was reported in the second fiscal quarter of 2011. A drop in copper prices during fiscal 2012 had a negative impact on our results for the quarter compared to last year's second quarter. The average copper selling price in the current quarter was $4.34 per pound as compared to $4.92 per pound in the second fiscal quarter of last year. Our Americas Recycling segment experienced another solid quarter and delivered a $6.4 million adjusted operating profit, including pretax LIFO expense of $4.6 million. This compares to the second quarter of 2011 adjusted operating profit of $10.9 million. Average ferrous scrap sold for the -- sold for $363 per short ton during the second quarter, which represented a 3% increase over the $352 per short ton reported in the second quarter 2011. Average sales pricing on nonferrous scrap was $2,873 per short ton, which was down 15% quarter-over-quarter. We shipped a total of 550,000 tons of ferrous scrap, which was up 8% over last year's second quarter. We shipped 62,000 tons of nonferrous scrap, which was down 3% over last year. Our Americas Fabrication segment recorded an adjusted operating loss of $10 million for the quarter, compared to an adjusted operating loss of $49.6 million in the second quarter of 2011. We continue to see recovery in this market segment as our backlog is at an all-time high in tons with improving prices. Additionally, our recent restructuring actions helped to lower costs and reduce the adjusted operating loss for the quarter. A pretax LIFO income of $3.4 million was also included in the second quarter result as compared to LIFO expense of $7.6 million for the comparable quarter a year ago. The average selling price for Americas Fabrication increased $139 per ton over last year's second fiscal quarter average selling price to 900 -- bringing second fiscal quarter average selling price to $914 per ton. Our International Mills segment reported an adjusted operating profit of $6.6 million for the quarter compared to an adjusted operating profit of $4 million for the same period last year, despite severe winter months that slowed the construction industry in Central Europe and unfavorable currency fluctuation, which squeezed margins. As previously mentioned by Joe, merchant bar products from our new flexible mill helped the Polish mill achieve increased profitability. This segment shipped 331,000 tons in the second quarter of 2012, of which 26,000 tons were billets as compared to 314,000 tons shipped in the second quarter of 2011, of which 45,000 tons were billets. This segment melted 401,000 tons as compared to 359,000 tons for the same period in 2011, and they rolled 356,000 tons during the second quarter compared to 285,000 tons during the second quarter of 2011. The average selling price was $613 per ton, which increased 2% from the same period last year. CMC's International Marketing and Distribution segment reported an adjusted operating profit of $26.6 million for the second quarter of fiscal 2012. Our raw materials marketing division was the largest contributor to this improved profitability. This result compared to an adjusted operating profit of $12.4 million during the second quarter of 2011. Last quarter, we discussed with you that we incurred a loss on long positions we held on iron ore contracts due to the rapid decline of iron ore prices. During the fiscal second quarter, iron ore prices recovered and we were able to reverse approximately $3.7 million of the loss taken in the prior quarter. Also, during our last earnings call, we indicated that we would have some unusual expense related to the contested proxy process and a tender offer defense. We incurred $7.1 million in expense related to these 2 matters during the second quarter 2012. Some financial advisory expenses relating to the tender offer will continue to be incurred in future quarters due to the way in which certain fees were structured. Capital expenditures were $23 million for the second fiscal quarter and $53 million year-to-date. Overall, our balance sheet remains strong. Cash and short-term investments totaled $216 million as of February 29, 2012. In late December, we amended our credit and receivables purchase agreements. The new credit agreement provides access to $300 million over a 5-year period with an option to increase total capacity by an additional $100 million. In addition to improved funded pricing under the credit agreement, the commitment fee will provide annual savings in excess of $1.3 million. The receivables purchase agreement was also amended, which increased the funding capacity to $200 million and extended the term for a period of 3 years. The receivables purchase agreement provides liquidity at a cost-effective funded pricing. When combined with the credit agreement, the 2 financing agreements provide a total borrowing capacity of $500 million. In addition to our amended credit facility and receivables purchase agreements, we continue to maintain significant unused, uncommitted credit lines that give us a great deal of flexibility to adapt to changing markets. Thank you very much, and I'll now turn it back over to Joe for the outlook.
Joseph Alvarado: Thank you, Barbara. In summary, we had a strong second quarter and first 6 months of fiscal 2012. We reported $28.9 million in net income for the quarter and $136.6 million year-to-date. We generated $95.3 million EBITDA in the quarter and $150.8 million EBITDA year-to-date, declared our regular dividend for the 190th straight quarter, completed our plan to wind down operations in Croatia. Our plan to adjust our fabricating cost structure has helped to improve the financial performance of this segment, and our fabrication segment has backlog in pricing at improved levels not seen since 2008. Also, 2 new shredders became operational as part of our strategy to grow this profitable segment, and we amended our credit agreements to provide liquidity for the company to continue to grow. With respect to our third quarter 2012 outlook, we are optimistic about the quarter. Our third quarter is historically our best quarter as the construction industry picks up after the winter months. We expect scrap price to remain relatively stable, though challenged. We remain encouraged by the strong backlogs in our domestic operations and anticipate a good shipping quarter. Our Recycling business has demonstrated that it can operate profitably in changing markets. Our backlogs for the International Marketing and Distribution segment are at levels higher than the last quarter. And we forecast the third quarter of 2012 to be another profitable quarter. We're pleased with our performance and improvements in the first half of fiscal 2012, and we look forward to continued success and progress through the remainder of 2012 and beyond. Thank you for your attention. At this time, we will now open the call up to questions.
Operator: [Operator Instructions] And our first question this morning will come from Kuni Chen of CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Congrats on the quarter. Obviously, good job keeping your eye on the ball there despite some of the distractions over the last couple months. I guess, just first off, on the International Marketing and Distribution side, can you give us a little bit more color on the strength in that segments and whether you see that as sustainable going forward? And then also, some of the reversal on the iron ore charges. I think you said that's $3.7 million in the current quarter. Should we expect reversals in that order of magnitude going forward?
Joseph Alvarado: Yes, I'll start with the second part first, Kuni, in addressing the iron ore adjustments. You recall on the last call, we noted that we had to account for this on a mark-to-market basis, and so that required us to record the losses that we incurred in the first quarter, and some of these adjustments are true ups as a result of completion of those transactions. There is still one transaction that was to be completed in March. So there'll be some further adjustment, but I would temper expectations on that. Secondly, as regards to the Marketing and Distribution business, we noted in our comments that it was the raw material segment, which includes -- it would include the iron ore shipments. And there are long lead times and large quantities and it's a very cyclical business, and there are bumps as we go along. So the second quarter, while it was a great quarter for us, is not representative of significant change. There will be a smoothing in the third quarter, and you can expect that to return to more normal levels in the next 2 quarters.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay, that's helpful. And I guess just as a follow-up. In Poland, obviously, the zloty remains fairly strong versus the euro. Can you just remind me what percent of your mix there is domestic versus export? And where that's -- where you see that going over the next 12 months or so.
Joseph Alvarado: Majority of the mixes is domestic in the range of 75%. We export to, principally, to neighboring countries, although we'll export well beyond that and have. I think I reported that in the last quarter. Principal shipments would go into other Eurozone countries, in particular Germany. But roughly, 75%, can be as high as 80%, is domestically consumed.
Operator: And our next question will come from Luke Folta of Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: I had a question on your fabrication. Some of the comments you made on fabrication, about the fact that you're seeing backlogs at all-time record levels. I'm just trying to reconcile that with what we're seeing in the market. I think we've seen some modest improvement in overall construction activity kind of sporadically. But nothing that would suggest a return to record backlogs. Can you give us some sense of what's driving that? Is this particular projects that you're seeing, or can you give us some color there? And then also if you could help us understand what that means in terms of volumes in this business. You had about a 7% year-over-year growth in the second quarter. Is that the sort of run rate you'd expect for the calendar 2012 period?
Joseph Alvarado: The overall backlog -- and a good way to look at this, Luke, is it's a combination of long lead time contractual business as well as short lead time, more commercial business that we're able to book. We have a lot of highway project and highway work that's on the books that we'll ship over time, and that will reduce over time as these construction season improves. But at the same time, we continue to book shorter lead time commercial business. We noted that there's been a bit of an increase in commercial activity and it's nothing to compare to 4 years ago -- 4, 5 years ago. But there's been a slight improvement and certainly greater optimism. So that backlog will wear down as construction season picks up and some of the highway work continues to come to placement. So we're just in a good position and a nice, strong order backlog, but we expect that backlog to decline over the course of the year.
Barbara R. Smith: I would also point out that historically, our Western strategy and that Arizona mill kind of started up in the midst and post-GFC. So part of this all-time backlog is a result of our growth strategy in that region and building up that backlog to support the Arizona mill over time.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay, that's helpful. The other thing, if you look at selling prices that you reported in that business, it looks like, just based on spot rebar, that the spreads in Fabrication appear to be expanding. Given this and your increased visibility on maybe on the volume side, do you expect -- can you give us some sense on when you think this business might start to report a profit? Is it -- could it be as early as next quarter? And do you still expect it to be in calendar 2012?
Barbara R. Smith: Certainly, there will be continued progress next quarter, provided there's not some massive increase in the price of their raw material input, which would begin to compress those margins again. But based on what we see today, we would expect to see continued progress in reducing the losses in the Fab segment. I would characterize it as approaching breakeven, but it probably won't get there in that quarter.
Joseph Alvarado: Hey, Luke, I guess I'd add -- one of the things I would add is that the stable pricing in raw materials markets and rebar pricing over the last year has helped the Fab business margins.
Operator: And our next question will come from Michael Gambardella of JPMorgan.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: I have a question in terms of the expense that you're going to be showing going forward for the defense. How much more do you think you have to go in terms of that expense going through the P&L?
Barbara R. Smith: Yes, we had just over $7 million in the quarter, and we expect another $4 million for the next 2 quarters and as it stands...
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Each? $4 million each?
Barbara R. Smith: Yes, $4 million each. It's a straight amortization of the advisory contract. And then probably an additional $5 million that'll spill over into fiscal 2013 unless we're able to accelerate that expense into this year, and the accounting rules will dictate that. We think that most of the legal expense associated with that matter has already been accrued to a large extent.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: And that's just all running through the SG&A line?
Barbara R. Smith: Yes.
Operator: Our next question will come from Evan Kurtz of Morgan Stanley.
Evan L. Kurtz - Morgan Stanley, Research Division: Hoping you can just fill us in on current scrap market conditions.
Joseph Alvarado: Well, we note in our comments that we expect scrap pricing to be more or less stable. There's going to be some movement in variation down a little bit in the current period. Probably the bigger issue in scrap for us today is availability, which means that in order to get scrap to the places where it's going to be consumed for our own manufacturing could lead to higher transportation costs. But more than pricing, availability is how we're being challenged in the scrap markets today.
Evan L. Kurtz - Morgan Stanley, Research Division: Okay. And then on the Fab business, what percentage would you say roughly of your backlog at this point is public versus private?
Joseph Alvarado: We're still sitting in the backlog at about -- from memory, about 70%. 70% is still public or more related to highway work. It's actually probably a little bit higher than that still, Evan.
Operator: And our next question will come from Timna Tanners of Bank of America.
Timna Tanners - BofA Merrill Lynch, Research Division: I wanted to -- since you have talked a lot about the construction market, have exposure there, I wanted to get your thoughts on the seasonality given the milder weather and how much that might have affected your regions and some thoughts on the highway bill and how that affects your operations.
Joseph Alvarado: Well, starting with the seasonality, I think some of the optimism that we've seen from construction markets is: one, because the winter was a little bit lighter; two, there are just projects that people feel that they want to bring forward even in the West Coast, which we noted because it's a market that really has been challenged. But there are other areas, like even Florida, where activity has picked up. So commercial projects are a pleasant surprise. And I referred to this as the consuming public not waiting for policy from Washington, but doing what they need to do. And there's a lot of money that's been sitting idle, and I think some of that is just being put to good use. And as far as the highway bill is concerned, it's an important part of what could contribute to significant increased demand for rebar and merchant products in the future once the funding is in place. And what we said before is that 3-month fixes to the highway bill don't really make much of a difference to demand. That's more normal and routine. Significant and substantial increase in infrastructure spend is what'll really move the needle for all of us that are in construction-related industries.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay. And then I could use any help that you can provide on this International Fabrication and Distribution business. We have a hard time modeling it. So it sounds like you had a reversal, but it was fairly small, not that it won't be replicated necessarily. But you also had a really strong backlog and then also scrap prices were falling, so I'm just trying to understand if you could help us understand some of the drivers or some of the metrics that might help us model this segment going forward.
Barbara R. Smith: Yes, Timna, I think the best advice I can give you is really look at, historically, the performance on average in terms of adjusted operating profit. And we had a low quarter in the first quarter mostly due to the iron ore positions. We had a really record quarter. Joe indicated that large bulk shipments, a shipment a day or 2 on either side of the quarter can have a big impact on their results. So for the coming quarters, I would model it more like the average earning stream that we've seen historically from that segment.
Operator: And our next question will come from Brent Thielman of D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: Yes, you talked about backlogs in the domestic operations, but wondering if you could just discuss a little bit more what you're seeing out of Poland in terms of new business and sort of what sort of visibility you have there.
Joseph Alvarado: Backlogs in Poland are fairly flat. We got through the winter months pretty well. Although there was a turn of bad weather in February, the weather has actually been fairly mild. But seasonally, as we expected, there was a downturn that may not have been as severe. The bigger issue in Poland is on the supply side, imports into Poland that are impacting the overall operations there and demand, and we have some concerns about this cross-border trade. And so we're addressing that internally and through local channels. But otherwise, demand is still fairly strong in Poland. And demand for construction products and a variety of not only commercial, but public projects is very good. So construction markets remain strong in Poland, consistent with the GDP growth that the country is projecting for the year. So overall, a good construction market for us. But our focus in Poland is not only to serve construction, but to expand our merchant sales, which we've been successful in doing. And the reason for that is because of the value add and to avoid some of the seasonality. And so some of the improved operational results last year and this year and in the winter quarter are because of our mix of products sold.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And then on the Recycling business, I guess if scrap does stay stable here during the quarter, should we see better margins in Recycling than what you saw in Q2, or is that going to further compress your spreads?
Joseph Alvarado: That's a good question, and I hesitate because my greater concern now is with availability than pricing. Clearly, pricing will move around the band. We don't see any dramatic changes in scrap pricing. But our primary concern in the Recycling business is getting scrap to the melt shop. We sell a lot of third-party, but we're in the recycling business as a complement to our raw materials strategy. And we'll get it to the furnace, but it may cost us a little bit more and that could impact margins negatively. So it all depends on how availability shakes out, Brent. And as prices move up, availability is -- normally follows, and we would expect that to be the case and cover [ph] our raw material costs. But right now, we're more concerned about availability and additional movement costs.
Operator: And our next question will come from Tim Hayes of Davenport & Company.
Timothy P. Hayes - Davenport & Company, LLC, Research Division: Just to clarify on the Recycling spreads. There's really -- you had 2 factors. You got -- one, it's more costly to move it. And then second, it's actually -- you find it more costly to purchase as well. Is that wrapping up the -- in this issue with availability?
Joseph Alvarado: Yes, it can become a factor. But in our business, we have the ability to substitute a lot of materials for our mix of products. We're not in high value-added end-use applications. Rebar construction gives us a lot of flexibility in our metallic mix. So I'm less concerned about that component of cost in that we can substitute materials and use other grades of scrap than some of the scrap that we might principally want to use if prices get out of line. So we aren't anticipating any dramatic shifts in pricing, at least not as it stands now. Again, we're projecting some stability in our scrap pricing. And some of this is impacted, at the same time, Tim, by seasonality in shipments as well, exports in particular. And the export market has been pretty strong, and that's in all regions.
Timothy P. Hayes - Davenport & Company, LLC, Research Division: All right. And then the final 2. Any guidance on corporate expense? And then you have bi-quarter. And then if you could repeat the nonferrous selling price in the quarter, please.
Joseph Alvarado: You have that number?
Barbara R. Smith: Let me see what I can give you in terms of a little guidance on -- the corporate can tend to have some large fluctuations because that's where our inter-company eliminations go through, and our benefits restoration plan can have some swings quarter-to-quarter. I would probably suggest that, again, you kind of look at what it's been over the last 3 or 4 quarters and maybe model it in flat with that.
Joseph Alvarado: And you asked for the nonferrous average selling pricing -- selling prices or ferrous? Apparently, you can't respond. The nonferrous was $28.73 per short ton, which was down 15% quarter-over-quarter. And the ferrous was at $3.52 per short ton -- I'm sorry, $3.63 per short ton. Hope that answers your question.
Operator: And our next question will come from Joe Krawczak of Longbow Research.
Joe Krawczak: Most of my questions have already been addressed. Just one quick one in terms of imports. On the rebar side of the market, we've seen a big spike here over the last couple months, particularly from Turkey, and latest data suggest similar levels in March. Just curious what you're seeing on the ground right now and your thoughts on the near term in that.
Joseph Alvarado: We went through the same sort of phenomena last year, Joe, with a significant boost in imports from Turkey. And that's driven partly by, obviously, by scrap, but also demand, not only in Turkey and the Middle East as well as North Africa, which are big markets for them. Last year, too, there was significant demand in Turkey for their own rebar products for construction. There's significant construction activity in Turkey. That will ebb and flow depending not only market conditions, but scrap prices. And with scrap prices continuing to drive up on the export market, I think that puts a pressure on margins. We will monitor their behavior. And if it becomes excessive and we believe that it's the prices that don't make sense, we'll do what we need to do to ensure that there's fair competition. But for the time being, while we expect the Turks to play a role in the domestic market as we do the Mexican mills, we don't expect it to be excessive. And as demand picks up, there's room for a level of imports.
Operator: And our next question will come from Chuck Bradford of Bradford Research.
Charles A. Bradford - Bradford Research, Inc.: Could you talk a bit about natural gas? I mean, it's pretty clear you guys use a fair bit in the EAF and other places. What are you seeing as far as the amounts used and the savings with these new low prices?
Joseph Alvarado: Well, natural gas is -- there are several different ways to look at it. We also distribute tubular products, so for our tubular business and our SBQ business. On the distribution side, energy market demand is good. And on the consumption side, lower gas prices help all of us, not only in reheat furnaces, but potentially in the furnaces as well, the electric arc furnaces. So for us, it's a benefit. And Chuck, we're always looking for nickels and pennies to save. And when we can do that, it offsets some of the higher raw material costs that we might incur. And I would put natural gas into the balance. But I think what's optimistic is that for the long term, lower gas prices have implications for how we might all run our shops and take advantage of the lower energy costs.
Charles A. Bradford - Bradford Research, Inc.: Can you also give us some kind of an idea of how much of your electricity comes from generators that are based on natural gas as opposed to other materials or other energy sources?
Joseph Alvarado: Chuck, that would be a wild guess right now and we'd have to go back -- I have some sense of it, but I'd be guessing if I gave you an answer right now. We can give you that off-line. But Texas is a state that, despite all the natural gas we have here, is predominantly served by coal-fired plants. So those numbers would probably not as favorable as one might think, given our location, but that's certainly card of -- certainly part of the national and international debate on carbon emissions. And I would expect that, over time, with lower gas prices, more and more plants would be converted to cogen, to be able to use either natural gas or coal products. But we can give you that information off-line. I don't -- it's a significant variation from what the norm is in terms of natural -- coal-fired plants providing in the range of 45% to 50% of all power supply in North America. We do have some nuclear as well in our demand.
Operator: Our next question will come from Phil Gibbs of KeyBanc Capital.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Can you talk a little bit about the pickup you've seen in private spending on construction products and maybe some areas as far as geographic regions and markets that you've seen there?
Joseph Alvarado: Yes, let me try to address that. We look at our business in 3 different regions: the Central, Eastern and Western regions. And the Central region has been a steady business for us over a long period of time, and it's highly influenced by highway work, and there's a lot of highway work that's still going on in Texas. But even here, we've seen fairly strong -- relatively strong commercial work as compared to the rest of the country. The West has been our most challenged market. Even before the mill started up, we saw a tremendous falloff. And so we brought that mill online to serve our Fab business when the Fab business was pretty weak. But activity has picked up and it's across a broad range. There are some projects that, as I said before, money that's being spent that was sitting idle that will bring capacity. And there are commercial projects, including office buildings, significant office building project as well as some infrastructure. In the East, it's a mix more of commercial than what I'll call public money. And we're seeing it not only in Florida, but also in the Beltway region, and those activities are good. There are other markets, though, that within the same region that'll be pretty weak and we don't see any change. So it's really, really very selective. And some of the project work in Florida, for example, includes some hotel and other commercial space like that, which is hard to believe, but there is more activity and more bidding along those lines.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: That's terrific. And my last one here is just on the International Distribution business that gives you more of a global view. What have you seen in broader Europe? I know you have exposure in Poland with your mill side, but you do distribute product into Europe. Any change in sentiment, things largely in a holding pattern still, and basically what are you seeing right now?
Joseph Alvarado: Yes, on average, Phil, it's a tale of 2 regions. Northern Europe remains pretty strong with good economic growth in Germany and Poland and in the Nordic countries, and then Southern Europe is struggling more, and that really hasn't changed and I don't anticipate that'll change. So short lead time business, the ability to deliver with short lead times for mills is an advantage over imported product and will probably remain that way until there's a significant shift in demand from countries like Italy, Spain and Greece and the other Mediterranean countries.
Operator: [Operator Instructions] And our next question will come from Michelle Applebaum of Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence Inc: So my first question for you is we're really getting excited about the backlog, record backlogs in your rebar Fab business. And I'm just wondering, can you break it down to same-store sales and the new markets that you're serving so that we can get a better handle on that?
Joseph Alvarado: Yes, roughly, overall, Michelle, it'd be difficult to do that. But we added significant capacity in Arizona with the start-up of that mill. So when we talk about backlog, we're talking about total backlog, both hot rolled as well as fab backlog. And the Arizona mill, itself, roughly -- well, we've exceeded nameplate, but roughly 25,000 tons a month of total capacity there. And so we're adding the hot rolled backlog from Arizona, as well as the fab backlog, which has increased in the Western region for us. So that in itself is an absolute increase. So when we talk about the record backlogs, it includes all of that new capacity. Now there's some generally better demand, as we've been talking about, but that would be maybe one way of trying to compare new store versus existing store sales.
Michelle Applebaum - Steel Market Intelligence Inc: If you didn't have the Arizona mill start-up, we wouldn't be at record backlogs?
Joseph Alvarado: We have to check that historically, but -- because I'm thinking about 2008 and 2007, what the backlogs might have been then, Michelle, and I don't know. I'd have to check that.
Barbara R. Smith: But I think it's fair to say the other regions have seen their backlogs improve...
Joseph Alvarado: As well.
Barbara R. Smith: Steadily over time.
Michelle Applebaum - Steel Market Intelligence Inc: Okay. Then the other question is from the -- from your international side, what's your read on what's happening right now in the Chinese market? That's been a source of weakness globally in terms of pricing, and they seem to have picked up a little bit the last few weeks.
Joseph Alvarado: Our view of the Chinese market and the adjunct in terms of Southeast Asia, Southeast Asian activity is really strong. Southeast Asia falls off dramatically when China isn't busy. So the Chinese market has bounced around. But we see good activity in China. I think the greater concern in China and Southeast Asia is about the future and where economic policies will take them. And we hear a lot of wide-ranging projections about decline in GDP or holding GDP. We aren't seeing the significant falloff that we -- was originally being reported. Some of the numbers were re-reported or revised. And we're heading, therefore, discussions and meetings and I'll have a little bit more flavor on that. But generally speaking, the Chinese market, while it ebbs and flows, following the Chinese New Year, picked up a little bit. And certainly, Southeast Asia picked up significantly after Chinese New Year.
Operator: And our next question will come from Mark Pomper [ph] of MEAG [ph].
Unknown Analyst: Guys, just wanted to ask you with regard to the balance sheet a little bit. Where do you kind of look to bring leverage to over time? Where do you sort of target leverage?
Barbara R. Smith: Yes, I think over time for cyclicals such as ours, a sweet spot would be in the 35% to 40% range. And with the improvements we're making, we're continuing to bring that leverage down. And you'll see that progress continuing into the future quarters as well.
Unknown Analyst: Could you kind of put that in a debt-to-EBITDA on a gross and net basis as well?
Barbara R. Smith: Yes -- well, I'm talking in debt-to-cap. I mean, I think it'd be pretty easy for you to then back calculate that into the debt-to-EBITDA.
Unknown Analyst: Right. And I reckon that would be gross debt then?
Barbara R. Smith: Yes.
Operator: And our next question will come from Luke MacFarlane of Macquarie.
Luke McFarlane - Macquarie Research: I was just wondering, I heard you mentioned something about a LIFO. Was it a credit for the scrap division of $4 million? Is that it right, or was it a charge, the inventory credit?
Barbara R. Smith: The -- for Recycling was an expense in the current quarter.
Luke McFarlane - Macquarie Research: It was expense. Cool. And were there any other charges or credits in the other divisions?
Barbara R. Smith: In total, it was minimal. It was less than $2 million for the quarter, and there were some incomes and some expense. I think it's in the press release laid out for you.
Operator: And our next question will come from Aldo Mazzaferro of Macquarie.
Joseph Alvarado: Are you and Luke on the same line and just switching over?
Aldo J. Mazzaferro - Macquarie Research: No, we're actually tag teaming you.
Joseph Alvarado: Okay, all right. Good.
Aldo J. Mazzaferro - Macquarie Research: I just had a question on your operating rate in rebar production in the U.S. What was the operating rate in the quarter?
Joseph Alvarado: Overall operating rate we've reported is 77% compared to 73% last year.
Aldo J. Mazzaferro - Macquarie Research: Okay. So that would imply your capacity domestically as a little north of 3 million tons, would you say that's about right?
Joseph Alvarado: Yes, ballpark.
Aldo J. Mazzaferro - Macquarie Research: Great. And also looking at your overall strategy, Joe, I know you've been sidetracked with some outside investors and things like that. But I know you've also had a internal thought process of how you can improve the company in terms of cost structure and maybe some further restructurings, minor or major. Could you talk about what your strategy is over the next couple of years in terms of improving profitability? Or are we kind of looking at cyclical improvement based on the economy or is there other things that you -- levers that you can pull internally that you can talk about?
Joseph Alvarado: You phrased that very delicately, and we appreciate the acknowledgment that we were a little distracted. But the good news is that the operations, the business, the unit leaders weren't distracted by the activities and that, more than anything else, is the reason why we continue to make some progress in our operating results. And so all the credit goes to them. But as far as our overall strategy is concerned, Aldo, we put a lot of money into the business, and our optimal strategy right now is to get value out of those investments. The mill in Arizona, the upgrade of the facilities in Poland are all significant investments for us that really haven't completely borne fruit in the sense that they all came on in a pretty weak market. So our emphasis is on utilizing those assets and generating the revenue to support growth in all of our business segments. So the Recycling business is a business that's been good for us. Our mill business is strong. And of course, while Fab business isn't where we'd like it to be, we continue to trim costs there. So trimming costs in SG&A is as important as trimming our costs in the Fab business where we've had unprofitable operations, and hence, the write-down in some of the assets related to construction services as well as the Fab business. So overall, our strategy is to fix what we have and to continue to invest where we see opportunities, the shredders are 2 examples of that, with an overall objective of getting a fair return to our shareholders, earning our cost of capital and then justifying future investments in any of our segments based on the ability to deliver those returns in excess of our cost of capital. We've done a good job of that in the past and we got off track when we made some of these investments and the economic downturn came. So now we've got to harvest some of what we've invested in. And we're making good progress in that front, not only using Arizona, itself, is an example. But in Poland, where we've invested heavily to sell more merchant products, those efforts are coming to fruition and will continue to improve.
Operator: And we have a follow-up question from Michelle Applebaum of Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence Inc: I just wanted to get a little bit more color on the International Marketing on the trading side. Barbara, you said something about that there was some strength in raw materials and that was part of it.
Joseph Alvarado: Right.
Barbara R. Smith: Yes.
Michelle Applebaum - Steel Market Intelligence Inc: And what kind of strength in raw materials? An export of raw materials?
Joseph Alvarado: I'll take that question, Michelle. Our raw materials business expand -- covers a wide range of industries. Steel manufacturing, energy industry. And so each of those will ebb and flow a little bit. And as Barbara said, there are times when we'll get large shipments of product or movement of product that we're able to realize benefit from. But the industries that we're serving are basic manufacturing and the energy industry and so we've seen -- I'd say that our order demand has improved and our backlog is a little bit better than it has been. But there's been strength in that market throughout. What you're seeing in the second quarter results is -- I hate to call it a blip, but if you average the first and second quarters and normalize for what our business activity has been there, there's not been a significant change, but there's been a -- there's a timing issue in the second quarter. But it's a good business for us, always has been a good business for us. The ore debacle of the first quarter put us aside and that happened...
Michelle Applebaum - Steel Market Intelligence Inc: Yes, I know. It's been a great business.
Joseph Alvarado: Yes, it has been for us.
Michelle Applebaum - Steel Market Intelligence Inc: Right. For 30 years that I've followed it anyway. Great.
Operator: And we have a follow-up question from Luke Folta of Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: Just 2 more quick ones, guys. Firstly, can you just talk about CapEx spending plans for the year, how much you plan to spend and what the major items are there? And also, the LIFO impact on Americas Mills segment, we missed that one.
Barbara R. Smith: Okay. In terms of CapEx, I think we told you last quarter that for the year, we were expecting around $140 million. And through 2 quarters, we're probably on a pace of about $130 million, give or take a few million. We've talked about the 2 shredders as projects in this current year. I don't know that there's anything else that we want to magnify. There's just the normal projects that we need to do, ongoing maintenance CapEx.
Joseph Alvarado: Luke, I guess I'd also say in the current environment, we're not looking at slamming the brakes on. We've talked about CapEx is always being a swing or optional. We can pull back. But we have projects that we need to carry forward, and at this point, we'll continue with those.
Barbara R. Smith: Okay. And in the America Mills, the LIFO impact for the quarter was an expense of $6.8 million. And then how [ph] had a benefit of $3.6 million. And I think those 2 are combined for the external view.
Operator: And showing no additional questions in the queue, Mr. Alvarado, I will now turn the call back over to you.
Joseph Alvarado: Okay. Well, that concludes the question-and-answer segment of our discussion today. We thank you, all, for joining us on today's conference call. We look forward to meeting with many of you in our investor meetings in the coming weeks, and we thank you for your support as well. That's it. Operator?
Operator: Thank you. This concludes today's Commercial Metals Company Conference Call. You may now disconnect.